Operator: Good morning, ladies and gentlemen, and welcome to the ADENTRA Third Quarter 2023 Results Conference Call. [Operator Instructions] This call is being recorded on Thursday, November 9, 2023.  I would now like to turn the conference over to Ian Tharp. Please go ahead. 
Ian Tharp : Thanks, Alan, and good morning, everyone, to those joining today as we discuss ADENTRA's financial results for the third quarter of 2023. With me on the call are Rob Brown, ADENTRA's President and CEO; and Faiz Karmally, Vice President and CFO.  ADENTRA's Q3 2023 earnings release, financial statements and MD&A are available on the Investors section of our website at www.adentragroup.com. These statements have also been filed on ADENTRA's profile on SEDAR+ at www.sedarplus.ca. I want to remind listeners that management comments during this call may include forward-looking statements. These statements involve various known and unknown risks and uncertainties and are based on management's current expectations and beliefs, which may prove to be incorrect. Actual results could differ materially from those described in these forward-looking statements.  Please refer to the text in ADENTRA's earnings press release and financial filings for a discussion of the risks and uncertainties associated with these forward-looking statements.  All dollar figures referred to today are in U.S. dollars unless stated otherwise.  I'd now like to turn the call over to Rob Brown. 
Robert Brown : Thanks, Ian. Good morning, everyone. I'm pleased to share details of ADENTRA's financial and operating results for the third quarter of 2023.  My initial comments will focus on our key financial and business highlights for the quarter, with an emphasis on sequential trends we saw between the second and third quarter of this year. Faiz Karmally, our CFO, will then provide additional details on our Q3 results with an emphasis on comparing our third quarter results with the same period a year ago. I'll finish off our prepared remarks with our outlook.  Beginning with sales activity in the third quarter. Volumes were steady and similar to what we experienced in the second quarter of 2023. However, we continue to see product price deflation amongst most product categories in the third quarter, and this resulted in a decrease in sales of 5% going from Q2 to Q3 of 2023.  Worth noting, there was 1 less selling day in the third quarter as compared to the second quarter. Adjusting for that, on a sales per day basis, we were down minus 4%, that decline attributed entirely to weaker product pricing.  Our gross margin percentage in the third quarter improved sequentially from 20.4% in Q2 to 21.2% in Q3. The third quarter gross margin performance of 21.2% is consistent with what we achieved in the same period in the prior year. It also marks our tenth consecutive quarter with a gross margin percentage above 20%. The stronger gross margin percentage is primarily the result of lower inventory write-downs and inventory cost improvements.  From an operating expense perspective, we continue to tightly manage costs. Excluding the impact of onetime accrued trade duties, expenses were lower compared to the same period in the prior year and also lower on a sequential basis from Q2 to Q3 of the current year.  Recall that in our previous outlook statements, we noted that third quarter adjusted results were expected to be similar to what we achieved in the second quarter of 2023.  Our adjusted EBITDA for the third quarter of $51.8 million came in stronger than the $46.1 million we posted in Q2. Adjusted EBITDA margin of 9.3% for the third quarter was our best quarterly performance since the third quarter of last year.  With respect to adjusted earnings per share, the $0.93 of adjusted EPS we achieved in Q3 exceeded our expectations primarily driven by the stronger adjusted EBITDA as well as a tax recovery in the quarter.  Our operating results again drove strong cash flows from operations and continue to demonstrate our ability to generate significant cash flows during periods of reduced economic activity. Similar to prior quarters, cash flow generation came from both the predictable conversion of adjusted EBITDA to operating cash flow before changes in working capital and from the release of working capital. The cash generated has been deployed in accordance with our plan. In Q2 of 2022, having recently acquired Mid-Am for $274 million using our credit facilities, we stated our objective to focus on debt reduction. Since the second quarter of last year, we've reduced debt by over $285 million.  Over the same period, we returned to almost $40 million in cash to shareholders in the form of share repurchases and dividends. The business' proven ability to generate strong cash flows and pay down debt were supportive factors in our Board's decision to increase the quarterly dividend by CAD 0.01 to CAD 0.14 per share or CAD 0.56 per share on an annual basis. This represents an 8% increase to the dividend.  As we advance through the remainder of 2023 and into 2024, we continue to monitor the impacts the changing economic conditions, such as inflation and higher interest rates, can have on our business. I'll provide more details on our business outlook before we wrap up today's call.  I'll now turn the call over to Faiz to review Q3 2023 financial results in more detail. Faiz? 
Faiz Karmally : Thanks, Rob, and good morning, everyone. I'm going to provide the details of our financial results for the third quarter of 2023 and outline our financial position at quarter end. Again, I'll remind those listening that any dollar figures Rob and I are using today are in U.S. dollars unless we state otherwise. Starting with consolidated revenue, we generated sales of $558.7 million in Q3 of 2023, which was a decrease of 15.3% or $101 million compared to Q3 of 2022, which was a period of unusually high demand and increasing product prices.  The year-over-year decrease is comprised of approximately 2/3 product price deflation and 1/3 lesser volumes as compared to the same period in the prior year. The Q3 decline in sales also included a $1.2 million unfavorable FX impact due to the translation of our Canadian sales to U.S. dollars for reporting purposes.  On a regional basis, sales in our U.S. operations were $516.5 million, which was 15.4% lower than the corresponding quarter in 2022. The decrease reflects both lower product prices and volume.  Third quarter sales in our Canadian Operations were CAD 56.5 million, which was 12.3% lower than Q3 in 2022. The year-over-year change in Canadian sales was primarily related to product price deflation and to a lesser degree from lower volumes.  Turning now to gross profit. We earned $118.3 million in the third quarter, a 14.9% decrease as compared to Q3 in 2022. This change primarily reflects lower sales as previously described. Operating expenses for the third quarter of 2023 were $100.9 million with the year-over-year increase driven by accrued trade duties of $15.5 million. Excluding these trade duties, Q3 operating expenses decreased by $5.6 million year-over-year to $85.3 million.  This decrease was attributed to lower people costs, which include a reduction in variable compensation, head count and lower premise costs. Operational expenses were well controlled despite the inflationary pressures prevalent in the economy over the last 12 months.  Moving now to adjusted EBITDA. Q3 2023 adjusted EBITDA was $51.8 million, a decline of 21.5% that was primarily driven by lower year-over-year gross profit and partially offset by the decrease in operating expenses excluding the accrued trade duties. As a percentage of sales, our adjusted EBITDA margin was 9.3% for Q3 of 2023 as compared to 10% in Q3 of 2022.  Finally, Q3 profit was $8.1 million, a decline of $21.8 million from the same period in 2022. This decrease was primarily driven by $15.5 million in accrued trade duties, which we previously disclosed would be recorded in the third quarter, an increase in finance expense of $3.7 million, partially offset by a $12.6 million decrease in income tax expense. On a per share basis, basic profit was $0.36 as compared to $1.28 in Q3 of 2022. After adjusting for the accrued trade duties and LTIP expenses, adjusted basic earnings per share was $0.93 as compared to $1.32 in the same period last year.  Looking now at our cash flow for Q3. Operating cash flow came in at $59.1 million, which was $28 million lower than Q3 of 2022. $33.2 million of the Q3 cash flow was generated from the continued reduction in noncash working capital.  Turning now to our balance sheet. Our strong cash flow generation enabled us to reduce debt by a total of $49.6 million in the third quarter. We exited Q3 in a solid financial position, a leverage ratio of 3x and unused borrowing capacity of over $425 million.  Our capital allocation strategy remains intact and prioritizes the continued reduction of debt, funding organic and acquisitions-based growth and providing incremental total returns to shareholders through our dividends and opportunistic share repurchases.  With that, I'll pass the call over to Rob. Rob? 
Robert Brown : Thanks, Faiz. I'll conclude my comments this morning with our outlook and details on our strategy to continue building the long-term value of ADENTRA.  In the near term, we continue to expect that inflationary pressures as well as higher interest rates will have a negative impact on economic activity. This in turn is expected to result in reduced product demand and could lead to a continuation of softer product volumes and pricing. In the third quarter of 2023, our sales were down by 15% compared to the same quarter in the prior year. We expect fourth quarter sales to be down similarly on a year-over-year basis.  As for 2024, there are a range of forecasts in the market regarding the expected performance of new residential construction, repair and remodel and commercial building. And there's much speculation regarding when the Fed and the Bank of Canada might consider loosening interest rates, which would provide a boost to construction markets after an extended period of rapid tightening to combat inflation. While we can't predict when that will happen, we remain confident that our business is well positioned for the long term to capitalize on extremely strong fundamentals in the repair and remodel, residential and commercial construction markets.  From a repair and remodel perspective, demand should be supported by an aged housing stock in the U.S. where the median age of a home is over 40 years and by U.S. move-up buyers trapped in their homes by legacy low interest rates, opting to improve their current residence in place. On the residential construction side, a decade of underbuilding in the U.S. combined with demographic changes where millennials are now the largest cohort should provide longer-term demand for housing.  In the meantime, we continue to demonstrate that ADENTRA is adept at managing our business and cash flows effectively regardless of market conditions. Our size and scale, together with diversity in our product categories, our broad customer channels and multiple end markets served, provides important stability. It balances exposure to any one geography or segment of the building products industry.  With that, I want to thank you for your time this morning. I'll now turn the call back to Alan to provide instructions for the Q&A period. 
Operator: [Operator Instructions] Your first question comes from Yuri Lynk of Canaccord Genuity. 
Yuri Lynk : Just a little more color on the price declines. If I had to guess, I would have thought that volumes would have been the larger contributor to the revenue decline in the quarter. So is there a specific product category or categories that's driving that? And more importantly, where do you feel we are in that cycle of prices coming off the peak? 
Robert Brown : Yes. So -- and it has been a little bit of a different tale of the tape through the year, the first half of the year with the sales decline year over was really more 2/3 volume, 1/3 price, and we're seeing in the second half a reverse to that.  There's been general price decline across most categories, Yuri. I would maybe carve out the door category as having been more resilient in terms of pricing discipline. But other categories and particularly products that are imported are down. Significant component of the imported product being down is just ocean freight embedded in product cost. That has normalized from when containers were very high cost versus where they are today.  In terms of when does -- when do we find bottom on pricing, that's hard to predict. It's been fairly, as I said before, orderly declines at this point in terms of month-on-month step backs, but it's been fairly consistent in terms of its occurrence as well.  So I think tough one to call, but we continue to find our way into, I think, a little better volume situation to help offset. 
Yuri Lynk : Okay. And then just on the volumes, I mean continuing to slide a little bit year-on-year and the economic data in Q3, we know with where mortgage rates went was, I think, probably pressuring activity across the housing ecosystem. So I mean why wouldn't volumes continue to decline well into 2024 just given the late cycle nature of your business mix? 
Robert Brown : Yes. I think that into the early part of the year, that's something we've got our eye on, of course. But when we look at the overall health of the end markets that we're in and we look at what channel partners are saying, for instance, in repair and remodel and home improvement, they're talking more about a flat to low single-digit environment for the coming year. We keep our eye, as I'm sure you do as well, on projections with respect to the LIRA. So there is some deceleration expected around, again, repair and remodel.  What we're most, I would say, bullish about is the recovery of single-family housing, which has been hit the hardest. And we're seeing signs, we think, of that emerging for 2024, which we have a significant participation in that channel.  The commercial channel, which is the balance of our business, above 20%, remains, as we've described before, fairly mixed with decent activity levels, nothing we're going to call out there specifically. 
Yuri Lynk : It was nice to see the margin performance in the quarter. So a good job. 
Operator: Your next question comes from Hamir Patel of CIBC Capital Markets. 
Hamir Patel : Rob, could you comment on how the partnership with Lowe's is evolving? And any opportunities you see there to grow the home center business? 
Robert Brown : Yes, that they are a tremendous partner to our company. They are our largest customer, but across ADENTRA sales, that's about a 15% concentration. So manageable but important, I guess I would put it that way.  Our relationship with home center is unique in that we're a vendor managed partner where the millwork aisle is basically turned over to our company to manage. So we like to say we're managing a store within a store where we're doing everything from determining what products should go into that aisle, when it's replenished, doing all the sourcing globally and even stocking the stores with our own staff. It leads to a very predictable business, which is really nice to have because we are still in an industry that's got some cyclicality, of course.  What I would say about Lowe's is there are periodic line reviews that occur from time to time. Again, as a VMI vendor that's managing aisles, that's usually a number of years apart as opposed to every year, which can be the case in other categories. We went through a line review recently and all of our stores were renewed. So we handle about 1/3 of Lowe's stores across North America, and we're pleased to continue to build with them.  In terms of how do we grow with Lowe's, I would think of that as more stable in terms of store count, as I just described. And then other places that you can grow are the introduction of new products into stores, and we do have new products that we do introduce from time to time that provide some upside as well. 
Hamir Patel : Great. That's helpful. And just turning to the M&A side, what's your appetite for acquisitions in this current housing backdrop? And are you seeing more opportunities come your way? 
Robert Brown : We're always active hunting. The focus in the current year, as described in the opening comments, was very much on reducing debt in a more uncertain economic time. We feel really good about what we've done with the balance sheet because we were heavy on inventory, and we made a concerted effort to bring that down to where it is today in about 80 days. And we've reduced a lot of cash and managed to pay down debt.  Now we've had falling trailing EBITDA at the same time. So leverage is still in a range that we're comfortable with, but it's at the higher end of that range. So we're going to be active looking at M&A, but we will be very measured about size of opportunity that we take on to make sure that we're being responsible with the balance sheet. But we do have ongoing conversations underway, as you would expect, because it is meant to be an active program, not a once-in-while type of activity for our business. 
Operator: Your next question comes from Nick Corcoran of Acumen Capital. 
Nick Corcoran : Most of my questions have been answered, but maybe just on the margins, you highlighted in your prepared remarks that margins have recovered to levels seen in the third quarter of last year. How sustainable do you think the margins are at current levels? And is there anything that might put pressure on them? 
Robert Brown : I think we've already come out of the period where we had the most pressure. We feel good about margin in the total sense. As I mentioned to an early question about where we're at in terms of inventory right now -- we have feedback from the line -- if we check through the process of reducing our inventory.  So the inventory write-down component has dissipated, and then we're just doing the better cost of inventory now. So that's allowing us to put more points on the board as it relates to the margin. So we feel good about -- the performance you just saw, we feel good about that continuing for now on a gross margin basis. 
Operator: Your next question comes from Zachary Evershed of National Bank Financial. 
Zachary Evershed : So Nick covered gross margin, so let's move to OpEx, some really good cost control there, excluding the trade case. Could you give us more color on what goes into that and if you can hold to that level if sales continue on their current trends? 
Faiz Karmally : Faiz here. I can give you some color on the operating expense run rate. So yes, you're right, once you normalize out the trade duties I mentioned in my remarks, our operating expenses -- and this is -- Zach, it shows -- just so we're talking about the same number here, is it shows on the MD&A in our Section 2, those operating expenses normalized to we're about $85 million. I think I've mentioned on previous calls, but you've seen in our results over the last number of quarters, that expense run rate was maybe more like $90 million, maybe a little more, plus or minus.  The reduction in the quarter, there's a number of things there. I would describe some of them as maybe more onetime, but some of them is maybe more permanent. We did reduce people costs during the period, a combination of some head count as well as, as I mentioned in my prepared remarks, some variable compensation. And we did decrease premise costs, which included consolidation of 2 of our facilities. And we're utilizing today just much less off-site storage than we had previously just given the significant reductions in the amount of inventory we're carrying, which you would have seen in the first couple of quarters.  So I think a lot of that is sustainable. Zach. I don't know if it's the $85 million going forward, but I do think we've made a bit of a step down in terms of that run rate you've seen over the last number of quarters, and it's probably trending towards the high 80s as an example, at least for the next couple of quarters here. 
Zachary Evershed : That makes sense. And then would you be able to comment on where you see the breakdown of the 15% decline year-over-year for Q4 in terms of volumes versus price? Will it be pretty much in line with what we saw in Q3? 
Faiz Karmally : Yes. I don't have the perfect answer for you in terms of the price versus volume. I mean I can tell you early on here into Q4, no change from the trend we described really the last couple of quarters where we are continuing to see pricing declines across most product categories month on month on month.  Now that is low single digit, right? It's kind of 1s and 2s in terms of a percent. So if that continues on until the end of December, you can -- you'll do the math and you'll have an estimate there. But as Rob mentioned in his remarks, right now, that's a little bit tougher to predict as well. 
Zachary Evershed : Got you. And then just one last one. We've heard from you about the home centers demand kind of maybe flat to low single digit. What are you hearing from your customer contacts in pro dealer and industrial markets for 2024? 
Robert Brown : I would say over the course of the last month, it's been maybe a little bit more cautious, Zach. I mean everybody wants to predict the future, and none of us can, so we're making best guesses. But that comment I made around more of a flattish to low single-digit environment seems to be a fairly common theme in our discussions with pro dealer customers in particular.  On the industrial side, remember, that's a very disaggregated customer base. We've got tens of thousands of customers. So it's not easy to form up a consensus, I would say, as it relates to that group. But we're not seeing any kind of sales behavior that I would describe as different between pro dealer, industrial at this point. 
Operator: Your next question comes from Ian Gillies of Stifel. 
Ian Gillies : Two questions, I guess, as it pertains to the interest rate environment. First, previously, I think you stated you'd be willing to go to 3.5x net debt to EBITDA if the right M&A opportunities presented themselves. Given where kind of the rates have gone and acknowledging you have some hedging in place, does that number move lower now? Or do you feel the need to change those bands just given cost of capital? 
Robert Brown : Money costs a lot more these days. We agree. So that would obviously leverage, no pun intended, into the discussion for us. Comments we've made in the past that relate to go a little higher have always been accompanied by with a very clear pathway to pay down debt over a shorter period of time, which we've delivered to this point when we have been on the upper end of the leverage. But obviously, all of the deals that we've done have always been very accretive to the company.  The higher borrowing rates changes that equation a little bit, But we will be sensible thinking that through.  And as -- from my earlier answer, we're still at the upper end of that 2 to 3 range where we think we want to be sustainably. So we're going to be pretty thoughtful about what we do with M&A going forward as it relates to overall debt to EBITDA. 
Ian Gillies : That's helpful and very useful. The other question I had, I mean there hasn't been a huge swath of deals in the building products space. But in general, based on what you're seeing through your pipeline or perhaps just through discussions, has the realization come that valuation multiples for acquisitions may be lower, call it, in future years than the prior decade just given some of these changes in interest rates? Or do you think that's still working its way through the system? 
Robert Brown : It really does vary by seller. I think there is a very firm grounding, though, in terms of trailing EBITDA numbers and understanding what those look like coming out of a very go-go period of the pandemic of 2021 and 2022 for building products companies. So I don't think there's a specific answer for every seller out there, but we are getting more realistic conversations around sustainable earnings. 
Operator: Your next question comes from Fernando Torrealba of Cormark Securities. 
Fernando Torrealba: It's Fernando on for Jeff Fenwick today. I just wanted to go back a little bit into leverage. If I remember correctly, back in May, the interest coverage ratio covenant was amended from 3x down to 2.25 until March of next year. And I'm just wondering, when we get to March of '24, does the covenant automatically revert back to the old 3x? Or should we expect to see a different covenant altogether? 
Faiz Karmally : It reverts back. 
Operator: [Operator Instructions] There are no further questions at this time. I would hand over the call to Rob Brown for closing comments. Please proceed. 
Robert Brown : I appreciate that. And thanks, everyone, on the line for joining us and for your interest in ADENTRA. Please do reach out if you've got further questions to Faiz or myself or Ian. And we hope everybody has a great day. 
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation, and you may now disconnect.